Operator: Good day and welcome to the Reinsurance Group of America Third Quarter 2019 Results Conference Call. Today’s call is being recorded. At this time, I would like to introduce Mr. Todd Larson, Senior Executive Vice President and Chief Financial Officer; Ms. Anna Manning, President and Chief Executive Officer. Please go ahead, Mr. Larson.
Todd Larson: Thank you. Good morning, everyone and welcome to RGA’s third quarter 2019 conference call. With me this morning in St. Louis is Anna Manning, RGA’'s President and Chief Executive Officer. Anna and I will discuss the third quarter results after a quick reminder about forward-looking information and non-GAAP financial measures. Following our prepared remarks, we will be happy to take your questions. To help you better understand RGA’s business, we’ll make certain statements and discuss certain subjects during this call that will contain forward-looking information, including among other things, investment performance, statements relating to projections of revenues, premiums or earnings and future financial performance and growth potential of RGA and its subsidiaries. Keep in mind that actual results could differ materially from expected results. A list of important factors that could cause actual results to differ materially from expected results is included in the earnings release we issued yesterday. In addition during the course of this call, we’ll make comments on pre-tax and after-tax adjusted operating income, which is considered a non-GAAP financial measure under SEC regulations. We believe this measure better reflects the ongoing profitability and underlying trends of our business. Please refer the tables in the press release and quarterly financial supplement for more information on this measure and reconciliations of net income to adjusted operating income for our various business segments. These documents and additional information may be found on our investor website at rgare.com. And now, I’ll turn the call over to Anna for her comments.
Anna Manning: Thank you, Todd and good morning. As indicated in our press release last evening, we reported adjusted operating EPS of $4.02 for the quarter compared to $4.03 a year ago. This was a very good quarter in many respects, as the bottom line was above expectations, organic growth remained strong and we had another successful quarter for transactions. The very favorable performance by certain key business units more than offset shortfalls and others resulting in strong consolidated results, which continues to demonstrate the benefits of earnings diversification arising from our global platform. Further, we were able to deliver these results in the face of ongoing macroeconomic headwinds, including low interest rates and weak foreign currencies. Let me touch on a few highlights and points of interest in the quarter. Top line momentum continued in the quarter as both reported premiums and organic growth were strong. Our strategy of providing broad-based solutions to our clients through our risk expertise and capital solutions expertise continues to deliver. Bottom line results were above expectations with contributions from many of our businesses. The Canadian business had another strong quarter, reflecting favorable mortality. This is the fourth quarter in a row of favorable large case mortality. Our Global Financial Solutions business continues to perform very well with strong bottom line results and continuing success in the in-force transactions business. We deployed approximately $150 million into in-force transactions in the quarter, bringing the year-to-date deployment to $385 million. This quarter’s deployment included deals in every region, including asset-intensive deals in the US, UK and Asia. With the successful deployment of considerable capital since 2018, the incremental earnings contribution from these transactions is becoming more meaningful. The pipeline is robust, we remain active and we hope to close 2019 on a strong note. The US Traditional segment performed well in the quarter as we had good performance from our US Group business and we also had favorable variable investment income. The combination of these helped offset some of the unfavorable experience in individual mortality. In EMEA, both the Traditional and Financial Solutions businesses had very good quarters as we saw favorable mortality in the Traditional business and favorable longevity in the Financial Solutions business. Again, we were also active on the transaction spread in EMEA on both longevity and asset-intensive opportunities. Asia continues to be a success story for us as our top line growth remained strong, given our solid overall franchise and leadership position in product development. When we combine our capabilities in product developments and Financial Solutions, we were able to deliver broad-based solutions to our clients, and with lower interest rates and their impact to local statutory capital levels, we’re seeing increasing demand in this region for those solutions. Longevity experience overall was very good across the organization in EMEA, Canada and the US. And we completed several new transactions in EMEA. We remain optimistic about the potential in this market and believe that we are well positioned to take advantage of the many opportunities on a global basis. Investment performance was good due to strong performance of our alternative investments, in large part from gains in our real estate joint ventures and private partnerships. We made a strategic decision to expand our investments in these alternative categories a number of years ago and we are benefiting from that decision. These are cash gains, money in our pocket and we expect to continue to generate good returns going forward, although the quarterly amounts will fluctuate. There are many highlights in the quarter and year-to-date and reasons for optimism about our business going forward. That’s not to say that we don’t have challenges. In Australia, we had a larger loss than we’d experienced in recent quarters. The industry remains under scrutiny by the public and regulators, and the overall industry dynamics continue to be challenging. We have a strong local team with the support of global expertise throughout RGA focused on the actions to remediate this business. In summary, we view this as a very good quarter with many highlights. Looking forward, RGA is well positioned, we have a proven strategy, our business is in good shape and we remain optimistic about the future and our business prospects. Ours is a long-term business and can best be judged by results over longer periods of time. We can point to a track record, a long track record of successful execution, a long track record of delivering strong financial results, and we expect to continue to deliver attractive financial results into the future. With that, I’ll hand it back to Todd to provide more detail on our results.
Todd Larson: Thank you, Anna. I’ll touch on a few financial metrics and provide some highlights of our segment results. Our adjusted operating return on equity for the trailing 12 months was 10.7%, which is within our guidance range of 10% to 12%. Our excess capital position at the end of the quarter was approximately $1 billion. Considering the Anna’s comments on the active pipeline, this has us in a good position to continue to execute on opportunities. The foreign currency fluctuations had an adverse effect of $0.02 per diluted share on earnings as compared with the prior year. The effective tax rate on pre-tax adjusted operating income was 23.5% for the quarter, at the high end of our expected range of 21% to 24%. On our year-to-date basis, the effective tax rate on pre-tax adjusted operating income was 22.2%, well within our expected range. The average investment yield, excluding our spread business was 4.83%, up 26 basis points from a year ago, primarily due to higher variable income this quarter. Our money rate was 3.82%, down from 4.02% in the second quarter. We continue to maintain a high quality investment portfolio and have been selective with new money investments in the current environment. I would also like to add some context to Anna’s previous comments around alternative investments and the expectation that they will continue to add incremental returns over time, although subject to variability in the short-term. As these investments season, we expect embedded gains to be realized over time. The point is that we expect to continue to generate higher returns from this source into the future, and we view them as recurring in nature, but certainly will be some volatility from quarter-to-quarter. And turning to our business segments, the US and Latin America Traditional business reported pre-tax adjusted operating income of $122.1 million, compared to $116.4 million a year ago. There were a number of items that affected results this quarter. Group experience was favorable and we had strong variable investment income. These were offset by unfavorable individual mortality experience as we experienced volatility from large claims this quarter. The asset-intensive business reported pre-tax adjusted operating income of $65.6 million this quarter, above the expected range, benefiting from addition of new business and favorable longevity experience on a block of payout annuities. Our financial reinsurance line reported pre-tax adjusted operating income of $19.2 million this period in line with our expectations. Moving to Canada, the Traditional segment had another strong quarter, with pre-tax adjusted operating income of $44.3 million. This reflects continued favorable individual mortality experience, the fourth quarter in a row. Premiums were up 11% on a reported basis and 13% on a constant currency basis primarily due to in-force transactions we entered into in 2018. Canada Financial Solutions reported pre-tax adjusted operating income of $3.1 million compared to $1.6 million in the year ago quarter, with the current year quarter reflecting favorable longevity experience. In the Europe, Middle East and Africa segment, our Traditional business reported pre-tax adjusted operating income of $25.5 million, reflecting favorable underwriting experience across the region. Currency negatively influenced the bottom line by approximately $1 million. Reported premium totaled $359.4 million, up 6% on a reported basis versus a year ago and up 11% on a constant currency basis. EMEA’s Financial Solutions business, which includes asset-intensive, longevity and fee-based transactions reported pre-tax adjusted operating income of $59 million compared to last year’s $56.4 million. Both periods were above our expectations, reflecting favorable asset-intensive and longevity experience. Currency had a negative impact of approximately $3 million. Now to our Asia Pacific business. On the Traditional side, our pre-tax adjusted operating income had totaled $21.5 million compared to $62 million in the year ago period. This quarter reflects results in Asia that were modestly unfavorable and a loss in our Australia business of approximately $24 million. The Australia results included one-time claims catch-up of about $6 million from one of our clients. Both the Group and the individual business in Australia underperformed this quarter as the runoff of closed treaties continues to be more extended and unfavorable than what we had expected. Some of our open treaties underperformed this quarter, and we plan to continue to take rate actions to remediate these remaining open treaties. The year ago period had favorable underwriting experience in Asia and a smaller loss in Australia. Reported Asia Pacific Traditional premiums were up 19%, reflecting 29% growth in Asia offset by a decline in Australia. Our Asia Pacific Financial Solutions business reported pre-tax adjusted operating income of $4.6 million, up from $1.3 million in the year ago quarter, reflecting the addition of several new treaties this year. Anna mentioned how we are combining our capabilities in product development and Financial Solutions to help our clients. This is producing some nice growth opportunities in Asia. These broad-based solutions have resulted in new treaties this year, generating $30 million of premium in the current quarter. The corporate segment reported a pre-tax adjusted operating loss of $29.9 million, higher than the expected run rate, primarily due to costs related to higher incentive-based compensation accruals and our strategic initiatives in service businesses. In conclusion, we view this as a very good quarter with many positives to highlight. We have continued to deliver strong organic growth and successfully executed on in-force transactions. Our bottom line continues to benefit from a diversity of earning sources by both geography and product. As Anna mentioned, the financial impact of recent transactions has become more meaningful, and thus we are seeing higher earnings run rates in the US asset-intensive and EMEA segment. Based on the strong business fundamentals, despite some ongoing headwinds and challenges, we expect to continue to deliver attractive finance results over time into the future. We thank you and appreciate your support and interest in RGA, and now we’ll open the call for questions.
Operator: Thank you. [Operator Instructions] We’ll go first to Jimmy Bhullar with JPMorgan.
Jimmy Bhullar: Hi, good morning. So I had a question on the US business. So any insight into or color into what drove the weak results on the individual life block? And then on group business, you’ve had sort of volatile margins and it’s been a business that I think you were in the process of repricing. So the improvement this quarter obviously better than normal, but to what extent is it the result of your repricing actions taking effect and flowing through results versus just maybe a positive aberration in terms of claims?
Todd Larson: Yeah. Overall the US Traditional segment had a good quarter compared to our expectations. And maybe it’d be good for me to break it down a little bit to the major pieces. You’re right, on the group side, which we have been in the process of a repricing over the course of the last several quarters and that’s basically done at this point so, and that this business has produced some good results throughout 2019. Now as far as the results of the repricing efforts, that will continue to emerge over time as those underwriting years develop. And then taking a step back for the overall US Traditional segment, the US mortality markets business did have negative underwriting experience of $45 million, which was related primarily to large claims in the quarter and we did end up having really a handful of fully retained claims in this quarter on that line. Now, offsetting that was the strong variable investment income that we mentioned in our prepared comments. And I would sort of measure that at about $23 million above our normal run rate for that segment. And then overall for the group and health line, I would say their overall underwriting experience was about $15 million favorable. And then we had as we always do some – across the segments, some model refinements and some client reporting catch ups that went to the good or favorable for us for the quarter of about $15 million.
Jimmy Bhullar: And then in Australia like what’s – and then I think it was individual disability that caused the issues. To what extent are some of these issues ongoing versus maybe just contained to this quarter?
Todd Larson: Yeah. Well – yeah, on the individual side, we have continued to see some poor experience there. There for the open treaties that we have, we will continue to pursue repricing efforts to remediate the experience on that business going forward. And you know we’re very focused on managing the in-force block that we have there, both on the individual side and on the group side and you know on the individual side, we’re really not and have not been quoting much in the way for new business.
Anna Manning: Yeah, Jimmy I would add that we feel that some of the performance in this quarter is volatility related, but there is that ongoing persisting underperformance that as Todd just mentioned, we are addressing through rate actions and also a really keen focus on claims management.
Operator: We’ll now take our next question from Andrew Kligerman with Credit Suisse.
Andrew Kligerman: Hey, good morning. Just thought of looking at your invested assets to equity. I think it’s roughly 7 times right now in terms of that leverage figure. The question is, how high would you be willing to let that leverage ratio go? I think the average for a life company is around 8.5 times. Is that where you want to be? Maybe a little color on that.
Todd Larson: Yeah, Andrew I would not say we have a target of where we want to be as far as that metric, but it’s certainly something that we pay close attention to throughout our entire risk management process and approach. And also you need to look at it by the underlying types of liabilities as well. For the most part, if you look at our Traditional mortality side, there’s not a lot of liquidity concerns on that business as premiums come in and we pay the claims outflows. And then on the asset-intensive side that’s in the Financial Solutions business, most of those blocks we’ve brought on, on an in-force basis. So we can do a very good job with asset liability management sort of right off the bat and minimize some of the – sort of like any mismatch we might have there. And there’s not a lot of situations, even if when you drill down into those underlying liabilities that there’s a lot of sort of liquidity or force selling events where we’d be forced to sell those investments in a bad environment. So I guess it’s a long-winded way of saying that the market value of the assets can go up and down, and we definitely need to be considered around the overall asset leverage that we have in the enterprise. But the way the scenarios we look at, there’s not a lot that would end up with us having to liquidate in a bad environment.
Anna Manning: And Andrew, sorry just I’d like to add one thought in that. Having Langhorne is going to be helpful in this respect as well.
Andrew Kligerman: And just to kind of wrap that question. So you would be comfortable growing the asset-intensive business, if that pushed the invested asset to equity ratio up a little bit. That would be something okay given your comfort with your asset liability matching?
Todd Larson: No we certainly would – are interested and will pursue asset-intensive related deals that we like. We’re fairly opportunistic and go hard after the underlying liability profiles that we’re comfortable with and certainly stay away from maybe underlying annuity-type products or asset-intensive products that might be a little bit more liquid like for example, that were sold through a brokerage chain and that type of thing.
Operator: [Operator Instructions] We’ll take our next question from Ryan Krueger with KBW.
Ryan Krueger: Hi, thanks. Good morning. On the variable investment income to $23 million above normal, does the normal expectation reflect your comments that you expect kind of better earnings to emerge from this portfolio over time or would that be on top of kind of what you view at this point as a more normal level?
Todd Larson: I’m not sure I – Ryan, exactly understand your question. And maybe I’ll start responding this way and then maybe you can follow-up. That portfolio of alternative investments that made up of real estate equity ventures as well as some private partnerships. And we began investing in that several years ago, and now it’s gotten to a size and the underlying investments are getting to a little bit more of a mature stage. So we are seeing our ability to generate some income from those increase over time and be a little bit more predictable. Although I’ll say, it’s still hard to predict quarter-to-quarter how much we might see in those. But we do expect the alternative assets, again, the real estate equity and the private partnerships to produce double-digit returns over time, albeit it’s going to be lumpy.
Ryan Krueger: Got it. Yeah, my question was just, you said it was $23 million above your normal expectation, but then you also said, it sounded like your expectation is rising. So I wasn’t sure if the kind of that already incorporated your rising expectation or you think that could just perform above kind of normal over time now?
Todd Larson: You’re right that our expectation is – has increased over time. And again, as those investments have gotten more seasoned and ready to harvest some of those underlying line gains.
Ryan Krueger: Got it. And then just on Australia as you continue to have some volatility there. I just wanted to just confirm that you’re still viewing this as more of an earnings issue and you still feel okay about the reserves?
Todd Larson: We do. We view it as an earnings headwind. One we don’t like, but one that we feel is manageable. And as you look at our overall operations within the RGA Enterprise, we make pre-tax well over $1 billion. So this is not a material amount overall to our earnings, although clearly, we don’t like the experience that we’re seeing. And yet at this time, we see no material causes to increase reserves. So we’re still comfortable with the balance sheet.
Operator: Our next question will come from Dan Bergman with Citi.
Dan Bergman: Thanks. Good morning. I guess to start in terms of EMEA. I think the latest guidance you’ve given for the region was a $50 million to $55 million quarterly run rate in terms of earnings. With results generally strong in that business and some of the recent top line growth, I just wanted to see if that’s still a reasonable range or has your expectation be a little bit higher?
Todd Larson: No, our expectation is a little bit higher. We have been growing that business very nicely. And I would look at sort of a run rate going forward for the entire EMEA segment in the $55 million to $60 million range.
Dan Bergman: Got it. Thanks. And then maybe just moving ahead to follow-up on Australia. Just in terms of the repricing actions and the runoff of some treaties, how soon should we expect some of the actions to have an effect on the earnings trajectory? Could that business return to profitability near medium-term or will any improvement likely take longer? Really just any thoughts around the earnings trajectory and pace of improvement would be helpful.
Todd Larson: The repricing treaties as they come up for renewal on the group side and also as we can on the individual side it’s going to be, I think improvement more over time versus an immediate or short-term increase like we see in the US group business, this will take a little bit more time.
Operator: Our next question will come from Humphrey Lee with Dowling & Partners.
Humphrey Lee: Good morning and thank you for taking my question. Just want to follow-up back on US group. You talked about this quarter was roughly $15 million favorable relative to your expectation. But at the same time, you’re going through the repricing. So I guess, from this quarter’s perspective, do you feel like it would be kind of comparable to a normal quarter of earnings power for the group or I mean would there still be kind of room to grow as you kind of continue to go through the – I mean, for the repricing to emerge?
Todd Larson: Yeah. Well one maybe a slight clarification. The $15 million related to the group and our health line, albeit the majority of that number relates to the group business. Now, and this quarter was a good quarter for the US group line. It’s good to see it back to some solid profitability after we experienced the underperformance last year in 2018. And as long as our efforts continue to play out as we expect them to, we’ll expect the earnings of that – the US group line to be in the range of, call it, $35 million to $40 million as I think I mentioned last quarter, once it gets back to full profitability and all the rate increases have kicked in.
Humphrey Lee: So for this quarter, are you below that or were you above that?
Todd Larson: For the quarter for the US group line, they performed a little bit better than what we were – better than what we expect. It’s hard to – that’s just for the quarter. Humphrey, I’m not sure exactly what you – the question is trying to get to.
Humphrey Lee: No, I just want to try to get a sense of for the performance this quarter relative to, I guess, a full earnings power of that business line but I think you got it –
Todd Larson: Is it that – yeah, for the quarter, it’s probably towards the high end, but again, like all of our businesses just looking at one quarter, it’s hard to draw run rate conclusions. Again, we’d like to look at it over longer period of time. So the group line is performing well, better than it has last year and mediation efforts seem to be going in the right direction.
Operator: And our next question will come from Erik Bass with Autonomous Research.
Erik Bass: Hi, thank you. Big picture, just given the volume of in-force transactions over the past two years. Can you just help us think about the incremental earnings contribution you expect? Where we should see this come through? And the timing of the earnings emerging?
Todd Larson: Well, I think yeah on the capital deployment side, we’re happy with what we’re seeing as far as the opportunities and the actual deployment. Most of the larger activities and opportunities we’re seeing are have been on the US asset-intensive side, where we closed a couple of nice transactions this year, and also over in EMEA, primarily in the UK. And we price for sort of lower double-digit returns, 12%, 13% range and the way US GAAP works, it takes a little bit of time for the new treaties or new blocks to get up to that level. But overall, I think that’s a good way to look at it.
Erik Bass: Got it. I guess maybe asking it a different way. When you’ve given run rates for asset-intensive for the US, I guess I think it’s $55 million to $60 million per quarter. And EMEA, you were talking about something in a similar range. So does that contemplate the contribution from recently closed blocks or could that move those ranges higher as they start to fully earn in?
Todd Larson: Okay. Yeah, sure. Yeah, it does although I would say since we have been successful with some of those blocks more recently, we expect that to be towards the higher end of those ranges and hopefully over time, exceed them.
Erik Bass:
Operator: Our next question will come from Alex Scott with Goldman Sachs.
Alex Scott: Hey, good morning. First question I had was on US [technical difficulty]. So I guess, when I go through some of these building blocks that were outlined before, it gets me up somewhere in like the $125 million to $130 million range, I think, is what I was getting to. So I’d just be interested in understanding like that I guess as a percentage of the sort of the $350 million that you’ve communicated in the past as a run rate. Is that a good way to think about like how much of the earnings is concentrated in 3Q? And it seems like that’s become more concentrated over time. And just any color you can give around as sort of the seasonality increases, as the policyholders are aging, how that will change things in 2020 and 2021?
Todd Larson: Yeah. So – maybe to start out that you quoted the $350 million the run rate for the Traditional segment. I think that’s still a good run rate to benchmark off of. Yeah, this quarter, we were about all in right around $120 million-ish, $122 million for the quarter for that segment, which there is some seasonality there quarter-to-quarter, which generally the third quarter has been a very fairly good quarter.
Anna Manning: Alex, I would add, we would expect and I think we’ve spoken about this in prior quarters, we would expect that as the mortality business ages that we would see more seasonality. And when we think of seasonality, really, we think about first and second quarters tend to be lighter and then third and fourth quarters tend to be heavier in respect of earnings. Now the only additional element that I would add is, as we continue to be successful on organic business, new organic business and in-force blocks and here it’s mortality blocks I’m referencing not the asset-intensive, that can put a little bit of pressure in the other direction. But given the scale of our business, I would expect seasonality to increase steadily as we go forward.
Alex Scott: That’s all helpful. Thank you. And then maybe just to follow-up on Langhorne and the deal pipeline for the kind of deals you’d be targeting in there. Does the interest rate environment just make it too difficult to achieve the kind of returns that you all want to hit here or is it still pretty active?
Anna Manning: The way I would describe our Langhorne pipeline is, it’s a promising pipeline and it has transactions in it that are US-based transactions and European-based transactions. UK, Netherlands, those type of countries. It’s a really – it’s a very highly competitive market as you can appreciate for those deals. We’re talking about very large deal sizes. I’m pleased with the progress and the process we’ve been following; we’re not chasing deals. We’re not relaxing our risk disciplines to chase deals. We’re being responsible. And although it’s taking time, we remain – I remain optimistic. I think interest rates are a factor. But they’re not the only factor. And as I said, we think this pipeline is promising.
Operator: [Operator instructions] We’ll go next to John Nadel with UBS.
John Nadel: Hey, good morning. So we’ve seen – or we’ve – I guess we’ve heard from some companies now over the last couple of quarters. And most specifically, just before your call on the Lincoln Call, some adjustments for the primary underwriters to reflect higher reinsurance costs. Anna have – I think in the past, you’ve indicated that RGA really has not raised prices in any material way on in-force treaties. But can you just sort of update us on that?
Anna Manning: Yeah. Yeah, we do not have a broad-based repricing strategy. We’re not following that approach as others in the market have followed, because we think this is a long-term business. We have long-term relationships. What we do, do and have been doing is, we take a look at the balance of our relationship with the client across all their business across all countries. And if we see that, that balance of relationship is tilted to extreme, then we will sit down and we will work with clients to come up with ways for us to rebalance that. Now we’ll also look at things like, are there systemic issues with the client? For example, has there been really poor underwriting practices? And so in those instances, if there has been that type of activity, we do take action. But again, it’s through working with our clients to realign those relationships. RGA strategy is really – we’re in it for the long haul, and we’re in it in a partnership with our clients for the long haul.
John Nadel: Got you, that’s helpful. Thank you. And then I know there’s an awful lot of moving parts to earnings growth, whether it’s capital deployment organically, inorganically, seasoning of various blocks, et cetera. But just focusing in on how much long-term interest rates have declined here. I just wanted to get a sense if we thought about your intermediate term, 5% to 8% annual operating EPS growth, and we isolate it on interest rates, is – are we low enough on rates that all else equal, that 5% to 8% growth objective is pressured to the downside?
Todd Larson: Hey, John, this is Todd. As you know, we generally update comprehensively our guidance in January when we go through year end. But just specifically on interest rates, we have been looking at that. And it’s – if you look at, say, 1% or so decrease in rates from where we are today, that would have an impact clearly on our earnings power going forward and create a headwind and sort of on our Traditional business, these aren’t exact numbers. But I’d say, 1% decline from here could impact next year earnings by in the neighborhood of $20 million of pre-tax. That being said, we’re still going to do our best to overcome any of that headwind through our business operations. And also, currency has an impact, too. That can go both ways.
Operator: We’ll now take questions from Andrew Kligerman with Credit Suisse.
Andrew Kligerman: Hey, thanks. Going back to Australia, just hoping for kind of a recap on the geography of the losses, I guess most of it was individual disability, maybe the mix of group and individual and then where you think that – what are you thinking for 2020 in terms of these different product areas?
Todd Larson: Yeah, Andrew, for the quarter, the loss was really across the product lines, both the group and the individual lines experienced poor performance. And I think as we mentioned and Anna also mentioned, on the group side, we had some volatility related to some catch-up on claims from one of our clients. So going forward, projecting out what we expect for 2020, it’s difficult given the experience. But again, we are actively managing that in-force block. But I would say, for 2020, we’ll likely be in a loss position, although as I mentioned earlier, I think it will be a manageable loss given RGA’s overall operations and just the size of the business in Australia.
Andrew Kligerman: Is this a market that you would consider exiting or is it just you need to work through the issues?
Anna Manning: Yeah. Andrew, maybe I’ll take that. So first, we’re concentrating obviously on managing the in-force on rehabilitation. But let’s take a step back for a minute. Our group business has been profitable since 2014, albeit with some ups and downs. And the group reinsurance market in Australia is one of the largest markets in the world. Now, we want to support our global clients and that is part of our strategy, part of the strategy that has been successful. This is an industry problem. It’s not just a problem isolated to RGA and it’s a well-recognized industry problem and it’s in everyone’s best interest to have a viable, a sustainable market. And it’s in everyone’s best interest to work together to get us there. There’s not going to be a quick fix. And so for us, as Todd mentioned, it’s an earnings headwind, it’s a manageable earnings headwind in the context of the global operations. And certainly given the strength in all of our other areas, but we think that we can continue to remediate this and work with the other participants in the industry to fix the industry and then, we believe we can continue to make money over the long run.
Operator: We’ll now take the question from Alex Scott with Goldman Sachs.
Alex Scott: Hi. Thanks for taking the follow-up. I just thought that I’d ask about expenses, just thinking through some of the initiatives that are going on. The current expense base which maybe had something in there for a little more deployment activity recently. I mean, how should I think about how that will trend sort of overall for expenses? And maybe, I guess specifically the corporate segment?
Todd Larson: Overall, expenses enterprise-wide, like every company, I guess will go through pretty diligent process and budgeting expenses, and compared to our overall budget for the enterprise on operating expenses, we’re doing fairly well against that benchmark. Now if you look at it year-over-year, there can be some fluctuations as we’ve acquired some businesses that brought in expenses that maybe were in ‘19, but not ‘18. But compared to our expectation, our budget overall so far through the year, we’re doing okay. Now, switching to the corporate segment, there you see a little bit more volatility and we’re running a little bit high compared to the $25 million average loss in the quarter. And that’s an overall loss for the corporate segment, not necessarily targeted directly to just the expenses, because we have the operations of Langhorne in there and some of our RGAx and service businesses that go through the corporate line. But as of right now, I think through the first three quarters, the average corporate loss for the segment is about $27 million. So maybe running a little bit higher from that $25 million, but that $25 million right now is, I think, still a fairly good estimate.
Alex Scott: All right, thank you.
Operator: And it appears there are no further questions at this time. Mr. Larson, I’d like to turn the conference back to you for any additional or closing remarks.
Todd Larson: So everyone, thank you for joining us this morning for the call and your continued support for RGA. Thank you very much.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.